Operator: Good day, ladies and gentlemen, and welcome to Matrix Service Company's Second Quarter Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. Now I will turn the conference over to your host, Kevin Cavanah, Vice President and CFO. Please begin.
Kevin S. Cavanah: Thank you. I would now like to take a moment to read the following: various remarks that the company may make about future expectations, plans and prospects to Matrix Service Company constitute forward-looking statements for purposes of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various factors, including those discussed in our Annual Report on Form 10-K for our fiscal year ended June 30, 2013, and in subsequent filings made by the company with the SEC. To the extent the company utilizes non-GAAP measures, reconciliations will be provided in various press releases and on the company's website. I will now turn the call over to John Hewitt, President and CEO of Matrix Service Company.
John R. Hewitt: Thank you, Kevin. Good morning, everyone. We have had a very active second quarter at Matrix Service Company and I would like to thank all of our employees for dedication and hard work during such a busy time. We continue to make progress towards our long-term strategic objectives and their commitment to success has been key to our performance. I would also like to thank the newest members of the Matrix Service Company family, the employees of Matrix North American Construction, for their commitment to the culture, values and future of the company. More on the integration of Matrix NAC later in my prepared remarks, as I would like to first update you on recent safety results for the company. At Matrix Service company, our focus on safety is constant and unwavering. We are focused on achieving 0 incident safety-conscious culture, that extends beyond the workplace into our homes to our families. All Matrix Service Company employees have a role in this journey. It is our hard work and dedication through our mission which drives our culture and results. For the first half of fiscal 2014, our total recordable incident rate was 0.70. This culture and performance is the differentiator to our client community. We recently completed a video contest at Matrix where all -- where we have all of our employees, in groups or individually, to create homemade safety videos that emphasized our culture. The response to this contest was excellent. The winner was Chris Johnson, a project manager in our Eddystone operations. The video focused on his personal big 5 and starred his entire family. Each of us have our own big 5, these are the top 5 things in our life that our good safety decisions allow us to enjoy. So great job to Chris and everyone who participated in the event. Please watch for posts on our Facebook page and YouTube channel for some of the videos submitted during the contest. And please feel free to share it with your family, friends and colleagues. As I mentioned, the second quarter for our fiscal 2014 fiscal year has been very busy. While the completion of the acquisition in December was certainly a great achievement for the company, the organic growth and performance within our core business has been robust. We are creating great opportunity and positive changes in the business as our strategy continues to gain traction. Our Electrical Infrastructure segment showed growth in backlog, primarily due to the acquired backlog related to the Kvaerner acquisition. Excluding the acquisition, the results for the quarter were mixed. Substation work that was expected in Q2 continues to be pushed out, primarily due to overspending by customers on other transmission projects in their respective systems and slower-than-expected regulatory evaluation of post-Sandy improvement requests. Additionally, a very quiet storm season year-to-date in fiscal 2014 compared to an active season in the same period last year contributed to a decline in revenues and margins. We continue to be excited about the transmission, distribution and substation opportunities in our footprint and strategically, we see the New England area as a growth opportunity for this segment. While the timing of these opportunities had slid to the right, we remain the preferred brand in our geographic markets and are excited about the near and long-term potential. I'm also happy to announce the signing of our first Master Services Agreement for substation transmission and distribution work out of our new Nevada operation. Next quarter, we will be discussing the natural gas biopower generation market that the acquisition of Matrix NAC has added to our segment portfolio. Moving on, our Oil, Gas & Chemical segment showed steady growth in the second quarter. The backlog increasing nearly 20% over Q1 2014. Our turnaround on planned maintenance groups continue to transition major bid opportunities to backlog and add capital construction scope to otherwise maintenance only-related business. Executing work in a timely and safe manner translates to profitable results for Matrix, increased scope and additional bid opportunities on future projects. The industrial cleaning business remains a growth area for Matrix and our teams have an excellent service offering, both on a standalone basis and as ancillary work to larger projects being executed by Matrix. We continue to actively evaluate acquisition opportunities in this space and see it as a profitable growth area for the foreseeable future. New tanks, terminals and balance of plant opportunities continue to drive strong results in our Storage Solutions segment. We are trusted by our major customers in this segment to execute efficiently on their largest and most complex construction projects, including several terminals currently under construction in North America. Tank construction remains robust in our core geographic areas, and the outlook remains very positive throughout North America, including full balance of plant terminal opportunities. We're very active on pre-FEED and FEED work on engineering groups related to the natural gas projects for transportation fuels, as well as other cryogenic application and storage, delivery and process facilities. It has been our strategy to create EPC projects for the company by delivering upfront process design and planning with our Matrix PDM Engineering specialists. This strong growth and development of expanded scope opportunities has not been without some challenges, in the quarter, as we took a $4.4 million charge on a Storage Solutions project. Our teams remain committed to delivering quality results for our customers in a timely manner and we are very pleased with the overall performance in this segment and the continued growth opportunities. Lastly, what was a segment consisting mainly of start-up businesses last year, our Industrial segment has continued to perform and grow as planned. Now with the addition of Matrix NAC, strong industrial business with a baseload of recurring backlog mixed with capital projects, the segment will have a scale in keeping with our strategic vision. Turning back to the acquisition of Matrix NAC in December, we are happy to report the integration is on schedule and progressing as planned. The strategic opportunities, culture and strength of the business that we highlighted during the diligence process continues to be upfront. We are very pleased with the opportunity falling in front of us, and the cross-leverage potential that this business presents for the company. We expect great things out of Matrix NAC and look forward to completing the integration by mid-calendar year 2014. Overall, the first half of the year has been very strong, and we have accomplished a lot. These results are a good indication of the strategic potential of the company, but we are focused on achieving that potential. We see continued growth opportunities in all of our segments. This, combined with our great leadership teams and a strong liquidity position, makes Matrix Service Company a strong enterprise. I'll now turn the call back to Kevin to discuss the details of our financial performance. Kevin?
Kevin S. Cavanah: Thanks, John. I will start with second quarter results. We generated record revenues of $311 million in the second quarter, as compared to $221.4 million in the second quarter of fiscal 2013. The 40.5% increase in revenues was due to strong growth in our Storage Solutions and our Industrial segments. Our quarterly net income was $10.3 million, and our fully diluted earnings per share was $0.38, as compared to net income of $5.4 million and fully diluted EPS of $0.21 in the second quarter of the prior year. As you know, we completed the acquisition of the business we now refer to as Matrix North American Construction in late December. As when we owned Matrix NAC a few days in December, the revenue and net income from that business during the second quarter was nominal. The only significant acquisition-related impact on our quarterly financial results was that we acquired $242 million of backlog and incurred approximately $2 million in acquisition cost, which reduced our second quarter earnings by $0.05. Consolidated gross profit was $34.2 million in the 3 months ended December 31, 2013, versus $22.3 million in the 3 months ended December 31, 2012. Although we had some execution issues on a Storage Solutions project, which reduced our gross margin by 1.5% to 11% in the second quarter of fiscal 2014, the performance of our overall business was strong. Consolidated gross margins in the second quarter of fiscal 2013 were 10.1%. SG&A expenses were $19.3 million in the 3 months ended December 31, 2013, compared to $13.6 million in the same period last year. The increase was a result of the $2 million of acquisition costs I previously mentioned, increased incentive accruals recorded in connection with the strong performance of the company and other cost required to support the growth on our business. The acquisition-related expenses of $2 million increased our SG&A as a percentage of revenue by 0.6% to 6.2% in fiscal 2014, as compared to 6.1% in the same period last year. Our effective tax rate was 28.4% for the quarter, ended December 31, 2013, as compared to 36.5% for the quarter ended December 31, 2012. The decrease resulted from revision in the estimated benefit from R&D tax credits. Based upon the current environment, we expect a 37% effective tax rate for the remainder of fiscal 2014. Moving on to the segments. The most significant contributors of the quarterly results was the 84.9% quarter-over-quarter revenue growth in the Storage Solutions segment. Second quarter fiscal 2014 segment revenue increased to $180.6 million, as compared to the second quarter revenues of $97.6 million of fiscal 2013. The increase occurred as we have added significant balance of plant terminal projects to our normal portfolio-obtained projects. Gross margins increased to 11% in the 3 months ended December 31, 2013, as compared to gross margins of 7.9% in the same period in the prior year. The improvement occurred due to the strong overall project performance in the segment. The Industrial segment also experienced significant growth, as a result of the continued expansion of our mining and minerals business, combined with the continued execution on a significant fertilizer project. Revenues for the Industrial segment totaled $31.1 million in the 3 months ended December 31, 2013, compared to $7 million in the same period a year earlier, an increase of 344%. The robust growth, combines a strong project execution, produced 12.3% gross margins, which is above our expectations. In the prior year, gross margins were negative as the business was still on a start-up mode. As expected, our second quarter Electrical Infrastructure segment revenues decreased compared to prior year, as we did not experience a significant volume of storm work in our recently completed quarter. The second quarter of fiscal 2013 benefited from storm restoration work and aftermath of a rough-filled storm season which included Hurricane Sandy. As a result, our quarterly revenues decreased to $50.1 million in the second quarter of fiscal 2013 to $37.2 million in the second quarter of fiscal 2014. The mix at work in the quarter combined with the lack of storm work contributed to a decline in gross margins from 13.2% in the prior year, second quarter, to 10.4% in the fiscal 2014 second quarter. The Oil Gas & Chemical segment continued the strong performance in the second quarter producing revenues of $62.1 million, compared to $66.6 million in the second quarter last year. We experienced significant growth in this segment of fiscal 2013. Digital high volume of turnaround work, scope growth and expansion of our core client base. While our revenues are down slightly in the quarter, we were still pleased with the overall trend of the segment. Our second quarter gross margins were towards the lower end of our expectations at 10.8%. Moving on to the 6-month results, consolidated revenues were $537.2 million, an increase of 24.6% from consolidated revenues of $431 million in the prior fiscal year. The increase in consolidated revenues was a result of significant increases in Storage Solutions and Industrial revenues. Consolidated gross profit increased from $44.6 million in the 6 months ended December 31, 2012, to $59.6 million in the 6 months ended December 31, 2013. The increase of $15 million, or 33.6%, was due to higher revenues and improved gross margins. Consolidated gross margins were 11.1% of fiscal 2014, as compared to 10.3% a year earlier. Consolidated SG&A expenses were $34 million in the 6 months ended December 31, 2013, compared to $27.9 million in the same period a year earlier. The increase was primarily related to the $2 million of acquisition costs and higher short-term and long-term incentive cost as a result of the improved performance of the company. In addition, we have continued our efforts to improve our systems, our processes and employee development. The acquisition of related expense of $2 million increased our SG&A as a percentage of revenue by 0.4% to 6.3% in fiscal 2014, as compared to 6.5% in same period a year earlier. Net income for the first 6 months of fiscal 2014 increased 67.3% to $16.9 million, as compared to prior year net income of $10.1 million. Earnings per share increased 61.5% to $0.63 per fully diluted share, as compared to $0.39 per fully diluted share in the prior year. Our backlog at December 31, 2013, totaled $882.6 million, that's compared to our backlog at the beginning of the fiscal year of $626.7 million. Project awards totaled $278.8 million in the second quarter and $551.1 million in the first 6 months of fiscal 2014. In addition, the company acquired $242 million of backlog in the Matrix NAC acquisition. At December 31, 2013, our cash balance stood at $73.3 million, as compared to $63.8 million at the beginning of the fiscal year. We utilized $51.4 million of cash for the Matrix NAC acquisition in the second quarter, with our strong operating results combined with cash generated from operations and approximately, $23 million of borrowings have allowed us to increase the cash balance through the first 6 months of fiscal 2014. The cash balance, along with availability under our senior credit facilities, provides liquidity of $162 million at December 31, 2013. We are increasing our previous guidance as a result of the strong operating performance of our legacy business and the addition of Matrix NAC. Our previous revenue guidance for fiscal 2014 of $980 million to $1.04 billion has been raised to a range of $1.2 billion to $1.25 billion. We're also increasing our previous EPS range of $1 to $1.15 to the new range of $1.15 to $1.30. That concludes our prepared remarks and we will now open the call up to questions.
Operator: [Operator Instructions] First question is from Tahira Afzal of KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: I guess the first question on NAC, can you give us an idea of the contribution to GAAP EPS from that in your guidance and on the revenue side?
Kevin S. Cavanah: Yes, so I'll take that one. We're looking at this acquisition, it's probably got a revenue range, an annual revenue range of $250 million to $350 million. So it's -- you can expect that to be half of that to be somewhere in close to the ballpark for the next 6 months. And when you look at EPS, the EPS guidance, most of that increase in guidance was -- is related to the legacy business. The acquisition is still going to be accretive, but it won't have a really big impact in the next 6 months. And the reasons for that are -- we're going to be spending money on integration. We've also got amortization of intangible assets including the amounts that were assigned to backlog and customer relationships. So it will be accretive, but it's not a really big number in the next 6 months.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: And several other questions, but I'll ask one more and then out of respect, jump back in the queue. The second question I had was really, if I look at the second half implied guidance, the run rate on the currently basis, carry lower than the second quarter, so perhaps you can help us understand, what we should consider in that second quarter to be a little outside versus what would be a normalized run rate at this point. And really, give us an idea of how much you're building in, in terms of a cushion for the typical execution issues like protocol and perhaps the weather we've seen recently, as well.
Kevin S. Cavanah: So it looks like you have a numbers questions? Okay. So I think that -- when we look at this, that second quarter was, obviously, very strong. The growth in the Storage Solutions segment was a lot higher than we normally would expect. We are performing a lot of balance of plant terminal work in that segment. In the second quarter, a couple of significant projects that started right beginning of the quarter. Some of that work is continuing on into the third quarter and then it'll tail off a little bit in the fourth quarter. So when we look at that guidance, I don't think we could expect that we're going to repeat the same level of revenues in the Storage Solutions for the next 2 quarters. I mean, if they will still be strong, they won't be -- it won't be as strong as the third -- as the second quarter.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it. And the weather issues, folks. And then I'd jump back in the queue.
John R. Hewitt: I would say, to date, I don't know that we're having any material issues related to storm -- storm issues. The biggest problems we're probably having is the management team trying to travel around the country to get to meetings. So getting stuck in airports and missing flights. I think a lot of our work today is continuing. Were having occasional missed workdays here and there, but -- on some of our job sites. But I think in general, we're moving forward. There's heavy storms in the Northeast. Certainly it's presenting an opportunity for us with any storm repair work with Electrical Infrastructure. And so we're keeping an eye on that.
Operator: Our next question is from Matt Duncan of Stephens.
Matt Duncan - Stephens Inc., Research Division: I want to dig in a little bit more, Kevin, on the balance of plant work you're referring to in the storage business. Can you help us think through how much that might be adding from a revenue perspective? And this is the first time, you guys, have done a meaningful amount of that work and is there may be an opportunity to do a lot more of this going forward?
John R. Hewitt: So I'll give you the strategic overview of that, Matt. So we have, traditionally, through the course of time here done balance of plant work in the terminals. So we're best known for our tank work. But with certain clients, we have in the past done some of the balance of plant work, whether that's the foundations for the tanks, some of the piping or patrols were in a -- but there's, probably, an area that we have not been best known for. So we are -- because of the amount of work out there, because not all contractors carry the same level of quality and safety that we do, we have been able to pick out, specifically with some of our key clients, opportunities with balance of plant and terminal work. So it is strategically our intention to put more revenue through the company and, of course, more earnings associated with that related to not just the tanks but the terminals, as well. So we're actively pursuing that, specifically, with our clients that we do a lot of repeat business with. And so we hope to have more of that type of work mixed in with our Storage Solutions segment, not just the tanks themselves.
Matt Duncan - Stephens Inc., Research Division: Okay. And then, Kevin, is there any way can help us in terms of how much that helped from a revenue perspective? And honestly, what I'm getting at is what's really the right run rate for us to use after? It sounds like 2Q benefited from a lot of balance of plant work. There's some of that in the 3Q and then it tails off. After that drop off, how should we be thinking about sort of a quarterly revenue run rate for the storage business, just so we don't get too carried away here?
Kevin S. Cavanah: So if you look at the first quarter, we did I think it was a little less than $110 million for the segment. Revenues for storage. And we did around $180 million this second quarter. So I look at it, I think our business has grown. Our backlog, it's up significantly last year. We still have a lot of project awards in that segment. So but I think the second quarter did benefit. So you're probably about halfway between that $100 in the first quarter and the second quarter of reasonable run rate.
Matt Duncan - Stephens Inc., Research Division: Okay. So the $140 million to maybe $150 million range on a quarterly basis is about where we ought to be?
Kevin S. Cavanah: Yes, I think that's reasonable.
Matt Duncan - Stephens Inc., Research Division: Okay, that's helpful. And then, guys, I wanted to dig in to the guidance a little bit more. On the amortization of intangibles and obviously Kevin, what I'm getting out here is trying to understand how accretive Kvaerner is. Once we're passed the integration and amortization of intangibles, I'm assuming, tails off a little bit because the backlog, I'm assuming it gets amortized pretty quickly. So what is the quarterly amortization of intangibles to the extent that's flowing through right now? And how much integration expense have you included in your guidance?
Kevin S. Cavanah: Okay, so on the amortization. You're right about the backlog. Especially, over the next 18 months, the backlog will be amortized off. There's also customer relationships that's a bigger component, that's a longer-term amortization. But over the next, at least, the next year and a half, you would -- I would expect about $1 million of amortization expense per quarter related to that acquisition.
Matt Duncan - Stephens Inc., Research Division: Okay. And then, now I see there's existing depreciation of their assets on top of that for their total impact on D&A, right?
Kevin S. Cavanah: That's correct.
Matt Duncan - Stephens Inc., Research Division: All right, so probably running around $1.5 million a quarter, let's say? Or total?
Kevin S. Cavanah: Yes, I think that's reasonable.
Matt Duncan - Stephens Inc., Research Division: And then, on the integration expense, how much are you, guys, assuming embedded in this guidance? And so what I'm getting at here is that if you take the expense level implied in your guidance, it feels like it's probably a little higher for the balance of this year for a variety of reasons than it's going to be out into next year. You've got probably an increase in variable comp because you guys are having such an outstanding year, and you've got the integration expense with Kvaerner. So I want to make sure we can sort of think this all the way through. So what's that integration expense going to look like?
Kevin S. Cavanah: So if you look at that, what that's really related to is, their entire business was on the systems of their parent. And all their computer equipment, all their software, was their parents'. And so we're going to have to convert that all over. And so during the next 6 months, it's going to be kind of like why we're getting up to speed giving them on our systems, on our hardware, work on some dual cost in there, related to that. There's also we wanted to make sure we spend plenty of time going through the policies and procedures of both companies and figuring out what's the best of the best of both. So I don't have a really firm number because so many people are involved in this. But I would take a ballpark, guess and say it's probably $0.5 million a quarter.
Matt Duncan - Stephens Inc., Research Division: Okay. And then last on the incremental guidance and I'll jump back in the queue. On the impact of the project where you took the $4.4 million charge, how much longer is that project flowing through from a revenue perspective, assuming it's going to float to a 0% gross margin? And what I'm getting at here is what gross margin level are you expecting from the whole business in the back half?
John R. Hewitt: So that project, we still have another 12 months, approximately, to go on that project.
Kevin S. Cavanah: So when you look at the gross margin's expectation for that, that segment, we've given you 11% to 13%. I think we were -- last quarter, we talked about probably towards the upper end of that, so now it's probably towards the middle of that range. Right, so it's probably 11% to 12% in the next 6 months.
Matt Duncan - Stephens Inc., Research Division: And then, the revenue side, just so we can kind of size the impact on gross margin. Is this a fairly big job? It sounds like it's a 12-month tail left on it.
Kevin S. Cavanah: It's a moderate-sized job.
John R. Hewitt: Correct.
Kevin S. Cavanah: It's not huge.
John R. Hewitt: It stands as average. Some would say it's an average-sized tank project for us.
Operator: Next question is from Martin Malloy of Johnson Rice.
Martin W. Malloy - Johnson Rice & Company, L.L.C., Research Division: Just in terms of the acquisition impact, I have few more modeling questions. I was hoping you, all, could help us with SG&A quarterly run rate going forward and CapEx.
Kevin S. Cavanah: So I'll hit the CapEx first. So we've reforecasted what we think we need from CapEx for the rest of the year. Obviously, our mission, we're going to be buying some computer equipment in this next 6 months, and then build on a bit normal CapEx. But I think we've talked about around $25 million to $27 million of CapEx for the full year for the company, and that will increase slightly, maybe $1 million, $1 million-or-so. Because there'll be outer pieces where we don't spend the cap -- the previous capital of budget we have accrued. On the SG&A, obviously, this quarter's SG&A was impacted by a number of things that I mentioned in the comments. The acquisition cost being the most significant, so we had about $19 million of SG&A in the quarter, I would expect that we're probably $17 million going forward. Maybe $17 million to $18 million.
Martin W. Malloy - Johnson Rice & Company, L.L.C., Research Division: Okay. And then, as far as the margin impact from the acquisition, it looks like the Electrical Infrastructure and Industrials is where the backlog impact was. What can we expect for margins going forward and the progression for margin improvement as costs were taken out?
John R. Hewitt: Let me do one topic. First, we are more focused on the, right now, on the leverage opportunities that MNAC brings in geography, bench strength and our ability to execute additional project and larger projects. Open up doors with some existing clients and facilities where we did not have a strong geographic presence. So there, while there may be some cost synergies between the 2 businesses, they're really impacted the business as the ability to leverage the resources and the skill sets to drive the overall basis. So it's more of a 1 plus 1 equals 3 rather than 1 plus 1 equals 1.75. So we see that as a bigger piece of the business. So as we move to the next 6 months, we're going to determine what opportunities there are for any cost synergies within the 2 businesses. But again, I think our ability to leverage the strengths or build the entire business together to continue to grow in a cashable market share is really where the benefit is here. As it relates to the margins, we would see the margins in the Industrial segment to -- I think this quarter, our margin...
Kevin S. Cavanah: We're over 12%.
John R. Hewitt: Yes, we were over 12%. That was a very strong quarter. But I think we've guided you guys in the past that it was our intention that the Industrial segment would be operating in the 11% to 13% range.
Kevin S. Cavanah: Eventually.
John R. Hewitt: Eventually. And so we think with the, depending on the mix of work, that the impact of acquisition brings to us between their day-to-day maintenance work and MSA work, small capital work, that, that guidance would, guidance target, would still be good. And then, on Electrical Infrastructure side, again, we I think we guided you guys there on 11% to 13% type range. A lot of times, we get to the high end of that range because of storm work. But we would not see the guidance in that segment changing significantly.
Kevin S. Cavanah: Marty, this is Kevin. Hey, I want to go back to your previous question on SG&A. I think correct on all what the forecast is. I underestimated that quarterly amount. It's probably closer to $19 million to $20 million. But it will still take us down to -- we'll get that SG&A as percentage of revenue down below 6%, which has been one of our targets.
Martin W. Malloy - Johnson Rice & Company, L.L.C., Research Division: Okay. And then, just one last question, if I could, on the modeling. Is there any seasonality that we should be aware of with the acquired business?
John R. Hewitt: They -- usually, a little bit differently on the industrial side of the work, they do on the iron and steel businesses. That work sometimes has a tendency to get stronger towards the end of the year because of their client base is trying to work through their capital budgets and get that money spent. You don't spend it, you won't use it, you lose it kind of thing. So I wouldn't call that strong seasonality, but there are tendencies from time to time where the back half of the year could be a little bit stronger than the front half. But -- and then, in their power generation, I would say there is little seasonality. That's more about of the timing of the award of the projects.
Operator: Next question is from Mike Harrison of First Analyst Financial. [sic] (First Analysis Securities)
Steven Schwartz - First Analysis Securities Corporation, Research Division: This is Steve Schwartz sitting in for Mike today. On the industrial cleaning initiative, how far along are you guys in the plans to roll that out?
John R. Hewitt: So we're -- we, a year ago, a little over a year ago, we purchased the assets of Pelichem, which was an industrial cleaning company in just outside of New Orleans. And we've rolled that out with our other industrial cleaning businesses located in here in Tulsa and Baton Rouge, near New Orleans. And that, combined with our pad cleaning business for refinery turnarounds, so we are operating and functioning that on a nationwide basis now. And we're pretty happy with how that is going. So we are continuing to look for additional tuck-in acquisitions there, like the Pelichem deal. And those are in areas where we see opportunity, we're looking for good, strong businesses that are well-managed, well-run, have a gross margin expectations that we enjoy in our current business. So that continues to be an area of growth for us in an area that we're going to be looking at even more growth opportunities now with a new geography that the Matrix NAC acquisition brings to us.
Steven Schwartz - First Analysis Securities Corporation, Research Division: Okay, sounds good. And then, just as a follow-up and I'm sorry if I missed this, but on the Industrial side of the business, you say you had revenues increasing consistently here. One and I know you mentioned the mining, minerals, fertilizer in your prepared remarks. But what's driving the strength there? And what sort of run rate should we expect for the rest of the year?
John R. Hewitt: Well, so on the strength side, so where we've been -- and we, probably, we didn't give a good enough shout out through our teams in the Tucson operation that have been working very strongly with our bonding [ph] clients in the Southwest. They've done a great job for growing that business over the last 12 months, they have really increased the revenue very strongly and their earnings. And so that's been a big part of the growth in the Industrial segment. As well as the great performance on the fertilizer project that we're executing for a client in the center of the country. So both of those things have gone on very well for us. And with the inclusion of MNAC, I think you saw the increase in the backlog, in that segment, for industrial. And so it's our expectations and it's been our strategy that the Industrial segment -- while in the near term, it's not going to reach the level of activity that the Storage Solutions will or probably Electrical Infrastructure, but we would hope that they would get on the same sort of a run rate and operating performance as the Oil Gas & Chemical segment.
Steven Schwartz - First Analysis Securities Corporation, Research Division: Do you think you'd stay above $30 million for the next couple of quarters?
Kevin S. Cavanah: Oh, yes. So the legacy business is the $30 million now. And it's got some good opportunities. In addition, a significant portion of the acquired business is in that segment. So it's going to probably double from here on a quarterly basis.
Steven Schwartz - First Analysis Securities Corporation, Research Division: So $60 million for the margin through the quarters?
Kevin S. Cavanah: Yes. $65 million to $75 million a quarter, probably. It's going to become -- we've been trying to -- that has been a start-up. A lot of start-up businesses in that segment, as John mentioned, over the last 12 months, there's been a lot of progress made from the legacy business. And now with the MNAC, that segment's becoming a very meaningful part of our business.
Operator: Our next question is from Tristan Richardson.
Tristan Richardson - D.A. Davidson & Co., Research Division: Just a question. I mean, I appreciate sort of all help on the acquisition and how that plays out. And my question's really on backlog. When you look at the burn rate, I mean, how much of this backlog is for work to be done past fiscal '15? I guess, I'm trying to get a sense of size and length of time of the jobs in backlog.
Kevin S. Cavanah: So it's always been an interesting question from a -- it's more of a segment question. So let's go through the 4 segments and talk about the backlog. So the Electrical Infrastructure segment has $200 million of backlog, with the NAC, Matrix NAC acquisition. The average length of that backlog is probably 6 to 18 months. There are some long-term projects in that segment. When you look at the Oil Gas & Chemical segment, there's $142 million. That's the segment that has more of the projects that come in and out of backlog quicker. There's very few projects that are over 6 months. There are some projects scheduled for later on next fall, some turnarounds that have already started to hit in the backlog there. But most of that backlog will be worked off within a year. Storage Solutions, it's $353 million. It's, like Electrical, has some projects that are some of them, they're as long as 2 years. So there's a good piece of that, that rolls off over the next couple of years. There'll be some that rolls off, obviously, this year but those are longer-term projects. And the Industrials, probably a mix similar to Electrical.
Tristan Richardson - D.A. Davidson & Co., Research Division: Okay. And so would you say the acquired backlog is maybe a little bit longer-tailed and a little bit larger projects than the legacy business?
John R. Hewitt: We probably have. The acquired backlog is in excess of 12 months. The other half would be under. If you want to coin it that way.
Tristan Richardson - D.A. Davidson & Co., Research Division: Sure. Now that's helpful. And then, I guess how should we think about awards going forward, especially with the new business? I mean is it some -- is it that what gives you some capabilities to bid on some larger work? I mean should we expect -- just project timing to be more and more of a factor when you think about quarter-to-quarter moves in bookings?
John R. Hewitt: Part of their business and part of the reason we bought them is their ability to do larger capital projects. So not unlike our Storage business, the timing of awards can move from quarter-to-quarter or from -- and the 1 quarter to the start of the other. So it will be some of that. It certainly is our goal to have a 1 or 2 major capital projects in our backlog that we're working off year in, year out. And then the other part of their business is very similar to our Oil, Gas & Chemical business. They're doing daily maintenance. They're doing small-cap projects. And those projects are in and out in the course of -- could be in and out in the course of a year, and sometimes in the course of a quarter. And so they're giving us a mix on a variety. Not totally unlike what we're doing today, except for the high end of their project opportunities are higher than what we're used to.
Tristan Richardson - D.A. Davidson & Co., Research Division: Great. Okay. And then, I always asked you guys but I'm curious sort of what you're seeing on the market on the storage side in terms of pricing versus, say, a year ago. I know you've got an agreement in place with one operator. Have you -- beyond that, have you seen pricing impact sort of your business positively or negatively versus, say, a year ago?
John R. Hewitt: No. We still see that market is very strong. As we said in one of the earlier questions, we see a lot of opportunities for us to expand our service offering beyond just the tanks and get involved in more terminal work. So that closes down the amount of competition that's available to do that. And so I think for us, we're seeing it's still a competitive market in some places, but -- and our clients still keep us honest. They want to make sure they're getting the right value for the right buck. But, certainly, we're not where we were 2 years ago where the pricing pressure was so extreme.
Tristan Richardson - D.A. Davidson & Co., Research Division: Got you. And then, my last one. Do you guys need different people or have you added people with different skill sets over the past couple of few quarters, as you're chasing the balance of plant work? Do they require some different skill sets than what you guys currently have?
John R. Hewitt: So we are -- yes to that question. As we grew that business as a different skill set of management and construction skill set than, say, our tank-only business. And so we have added some talents and moved some talents around in the organization. But we feel pretty comfortable where we are now in our ability to recruit the people we need.
Operator: We have a follow-up from Matt Duncan of Stephens.
Matt Duncan - Stephens Inc., Research Division: Yes. I want to go back to the quarterly SG&A guide that you gave. Frankly, I'm having an extremely difficult time getting in your guidance range using that number. Are you may be leaving out the amortization of intangibles from that? Or does that $19 million to $20 million include the addition of Kvaerner SG&A, plus the amortization of intangibles plus ration expense? I just want to make sure that, that's an all-inclusive number?
Kevin S. Cavanah: So the numbers are partly closer to $20 million but that does include the amortization expense.
Matt Duncan - Stephens Inc., Research Division: So to get to your guidance range, I would have to assume that you're accounting on a gross margin between 10% and 11%? And honestly, that could be more like 10% to 10.5%. And the revenue range at that quarterly SG&A run rate, to get into the guidance, so what am I missing? Why would gross margin be down?
Kevin S. Cavanah: So I think when you look at the work that we have booked and what we're planning on this next 6 months, there's probably a higher degree of reimbursable work that has a different risk profile and maybe not lend itself to as high a margin as, say, a higher percentage of lump-sum work.
Matt Duncan - Stephens Inc., Research Division: So gross margin might be down, I mean, is that -- I guess what I'm getting at is what really is your gross margin expectation? And I'm sure part of what's going on here is you're probably allowing yourself some room with your guidance as you have been for the occasional project charge to crop up. And the one this quarter was I think around I think about $0.08 if I sort of net out the $4.4 million against maybe a little bit of an adjustment of accruals for bonus pay. But are you assuming that you kind of still have every quarter that there is a bad project charge within your guidance?
John R. Hewitt: So we do -- on a monthly and on a quarterly basis -- we forecast forward, obviously, for the all of our projects and consolidate all that in the business. And we're trying to roll in the Kvaerner acquisition into that. Assess their go-forward basis on their projects, they're coming on the backlog. And so if we take a conservative view on the gross margins there, then that's -- so be it. But we have not specifically said, "Okay, we're going to -- our gross margins are x and we're going to subtract a certain amount because we know we're going to have a bad project." That is never our goal to have a bad project and we work very hard not to have those. And just as much, for you guys, you hear about the bad projects but you don't hear about the good ones. And so there's, in many times, more opportunity and more projects that have gone better than we have budgeted than those that have gone bad. So it's tough for us to handicap those going in. We can't handicap what the storm season is going to be like. But as we said, we're starting to see some opportunities on storm maintenance and repair in the Northeast because of the kind of winter we've had. So there's a lot of ups and downs to this business and we're trying to make the best assessment that we can for those gross margins and that's the assessment that we've made.
Matt Duncan - Stephens Inc., Research Division: Okay. So to be fair, John, it sounds like you guys are trying to be a little bit conservative with the current pass on gross margin. Because if I go through the segment-by-segment gross margin expectations, it certainly implies a gross margin higher than what's implied in guidance. And so what I guess what I'm getting at is, if it does -- is it fair to say that there is a layer of conservatism in the guide?
John R. Hewitt: I would say that there's a layer of opportunity within our organization for us to do better.
Matt Duncan - Stephens Inc., Research Division: To execute, got it. Okay. That's a good way to look at it. That makes sense. All right. And then, over the past couple of weeks, there's been some potentially positive news. On the storage side, I guess I saw Ambridge [ph] announced about a $200 million terminal expansion up in Canada. And then, obviously, the State Department's report on Keystone XL makes it that much more likely that maybe that thing finally gets the green light. With a 5-year alliance agreement you guys have with TransCanada, I have to believe that would be a nice positive for you if that happens. So are you continuing to see more and bigger storage opportunities so that we might see that backlog keep growing?
John R. Hewitt: Yes, we've have -- I think there's been some in the quarter. You strip out some of the terminal work and look at just the tank piece of our business. In the quarter, I think it's been a little flattered down. But there's a lot of pent-up demand there. There's a lot of projects that we're looking at. And so we expect that the backlog to catch back up in the tank-only part. And also, besides TransCanada, and with some of our other key clients, we are in discussions on projects with them to provide terminal opportunities. So we still think that market's very strong. As it relates to Keystone, I think we're heavily engaged with TransCanada on the southern lake between the tanks and terminal and pushing in the tanks and terminal at the southern end on in Texas area. So we are active there. On the northern leg, the amount of work for us with them on the northern leg of the Keystone pipeline isn't as major as the opportunities with them in Canada, where they are running -- they've got the eastern energy projects and other ones there where they're trying to get oil sands, oil into the East Coast of Canada and the U.S., as well as their oil into the West Coast to be able to ship into Asian markets. So there is -- I'm hoping that our government sees the wisdom of the correct decision and approves the balance of the Keystone pipeline. But if it doesn't happen, it's not a big killer for us.
Operator: We also have a follow-up from Tahira Afzal of KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: So I have a follow-up to that. I guess, the delays in Keystone have been in a sense helpful as far as the storage facilities in the North. So I guess net-net, if we do start to see some transportation options come out, net-net going forward, does it imply sort of a flat storage opportunity for you or does it still imply a growing storage opportunity for you? And also, we've started to see a lot of storage tank, sort of terminals being proposed in lieu of potential exports into petrochem and the crude side, in a sense. I know they are not from your traditional midstream type of companies, but would love to get a sense if you're starting to see some interesting opportunities come that way. So that's my first follow-up, and then I do have a second one.
John R. Hewitt: So your first, Tahira, so your first follow-up had like 3 questions in it. So if I missed all, if I missed 3 of them, remind me. So on the export of crude, obviously, there's a prohibition, federal prohibition on the export of crude. We hope, again, that the federal government will see the wisdom of the appropriate decision there and allow the exportation of crude because of the volume of crude that our country's going to produce over the next couple of -- started to reach a level of production over the next couple of years and go forward to the next decade or better. And if that would happen, that certainly would provide opportunities for us for either the conversion of existing distilled products, terminals for export or for the construction of new export terminals for crude. On the distilled products side, we do a fair amount of work for Magellan. Today, Magellan, while they made some conversion to be a crude midstream company, they do have a refined products business. And so we've done storage work for them, both in their pipeline network, as well as in terminals. So we expect to see opportunities come forward for us with terminal tanks and terminals with distilled products. Certainly, as Bakken and Canadian crude gets into the East Coast refineries, there's going to be a huge market for them to offshore distilled products, particularly in diesel into the Europe and the European market because of the cheaper feedstocks we're going to have so that should create some opportunity for us. Did I miss question 3?
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: No. I mean, actually, that was sufficient. I guess the third one was really synergy look at Keystone coming on. It sort of relieves a lot of block on the storage side, so...
John R. Hewitt: Yes, I think the Keystone thing for me is that, that oil is going to get to market. So if you're going to get to market in existing pipelines and then come down through from Canada into the U.S., or through railroad traffic, or trains, I'm sorry, or truck, or barge offshore. So it was going to get to market. Again for us, what the Keystone, the fact that federal government did not approve the Keystone pipeline, a nonvital [ph] will create opportunities for us in other areas where people are trying to find ways to get that oil in the market. So there's a market there, it's going to get there, there's going to be a need for terminals and tanks and pipelines, pumping stations and we think we're in a good position to take advantage of that.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it. And I mean, John, last call you talked about when you announce the key NAC acquisition, you did mention that you would be at a point that we can talk about some of the larger borrow opportunities of some tanks over the next couple of months potentially that you could talk about. To be on the call, you've said that you'll be talking a little more about in next quarter. Does it mean -- these opportunities are looking really real, you could potentially see something coming up in this near-term?
John R. Hewitt: So we are currently executing a combined cycle project now, I can say it was in backlog, came in with the business. They've got an opportunity list of other projects that fit our risk and execution model profile. We're not prepared to talk about those today, but we're pretty comfortable with that list. And whether they're going to focus their efforts to go in that work, and certainly through the course of the next 12 months, we would expect to add in one or another project into our backlog.
Operator: We have a follow-up from Martin Malloy of Johnson Rice.
Martin W. Malloy - Johnson Rice & Company, L.L.C., Research Division: And just looking at your balance sheet, it's still a pretty healthy cash balance there. Could you discuss your appetite for doing additional acquisitions? Has it diminished at all with this one?
John R. Hewitt: No, I would say we're still having a strategy of adding acquisitions that fit our strategic plan. Right now, we will not, I would say we will, unless something really interesting came to light. We're not actively pursuing another contract or sort of the size of Kvaerner over the next probably 6 or 12 months. But we are actively pursuing smaller tuck-in acquisitions and we'll continue to look for those and find the ones that fit our strategy the best that we think presents the best pricing point.
Operator: There are no further questions at this time. I'd like to turn the call over to management for any closing remark.
John R. Hewitt: Well, thank you everybody for being with us today. It was a great quarter. We appreciate your thanks in that and all of your interesting questions, and we look forward to talking to you at the end of Q3. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may now disconnect. Have a wonderful day.